Meera Bhatia: Good morning, and welcome to Today’s Third Quarter Result Presentation. My name is Meera Bhatia and I will be guiding you through today’s presentation. Our CEO, Jon Fredrik Baksaas, and CFO Richard Olav will present the financial update today. This will be followed by a Q&A session firstly from the audience, then from our online and phone participants. We will try to – aim to end the session at about 10 O' Clock and after that media will have the opportunity to speak to our CEO. Fredrik, if I could ask you to come on stage?
Jon Fredrik Baksaas: Thank you, Meera and good morning to all of you. It’s the third quarter 2014. And I am pleased to report record high revenues this time and EBITDA as well for this quarter. We delivered another solid quarter – we delivered another solid quarter in terms of subscriber growth adding 3.4 million subscribers. We have added 13 million so far in 2014 and we are reaching close to 118 million customers in our 13 operations. Now I also that Myanmar is on stream. And at the same time reported revenue growth is close to 7% and whereas the organic revenue growth improved to 3.5% this quarter it was 1.6% in Q2 and it’s 2.2% for the year as a whole for the three first quarters. Internet For All is to the heart of our strategy. We are driving activities in all markets to enable, to stimulate and to monetize data usage. The number of active data users in our base is now 29% implying that there are significant growth opportunities left growing that figure. In the third quarter, we have an EBITDA of NOK 10.3 billion. This is the first time that we are above NOK 10 billion from the operating activities and it’s another record number for the Group. We have a stable EBITDA margin of 37% and we delivered 4% organic EBITDA growth which is slightly above the organic growth figure. As we have these kinds of growth figures, we are still in need to continue to focus on profitable growth, and cost efficiencies in order to secure the solid returns also going forward. As well as, looking at the operating efficiency on the Group there are also significant investments to be done for the future here. And the successful launch of services in Myanmar is one example of this. So we are taking another long-term position where we told at the end of the quarter reached the very exciting milestone of launching services in Myanmar and I will get back to this a little later in the presentation. Moving then to Norway. In Norway, we have a very strong quarter. The growth is as last quarter, driven by strong underlying data growth combined with targeted upselling activities. 4G is really driving the growth in Norway now and we are here showing growth figures on volumes and how also the handsets combination between 3G and 4G handsets is picking up. 69% or 2.2 million of our subscribers are now active data users. However, that means that there is still 1 million left. And with our 64% year-on-year growth in the median data usage among our active data users. The usage growth is supported by a 5 percentage points increase in 4G-enabled handsets since previous quarter. And this figure is as strong as 25 percentage points compared to the third quarter last year. Some of the safe things are happening. 1.2 million of our subscribers now have a 4G-enabled handsets versus only 415,000 a year ago and we expect the number of 4G phones to surpass the 3G handsets by the end of the year. And what is driving this is good quality network of course, combined with attractive handsets, but also in this attractive services and video is now driving this. But still Norwegian marketplace is still only a third of what the Swedish market is on average figures. So we have still a good potential to catch. We invest to maintain our premium network position and we have around 80% 4G population coverage as we speak. And this figure has also increased dramatically up through this year. The increased 4G network coverage also contributes to the increased data growth of course as people as people are consuming data everywhere literally, while commuting, at summer houses and wherever it is and we are all part of it in particular I guess the people in the room. And it should also be mentioned that in fixed broadband, we also can note the a customer growth as some – we have added 4000 new fiber subscribers in this quarter reaching a total fiber customer base of 104,000. And this figure, a growth figure they also becomes visible in the financials from Telenor Norway. Within mobile, we saw a solid 10% growth in subscription traffic revenues and in the fixed segment, we are reporting stable revenues. But looking into the details we see now that the 7% growth in internet and TV revenues is now more than offsetting the decline that we have in traditional fixed telephony. All in all, this gives us an organic growth of 6% in Telenor Norway this quarter. And this is done on the back of significant investments in the high speed data network in particular in Norway and fiber rollout with total CapEx estimated to above NOK 4 billion in Norway this year. For 2015, there are two elements to be aware of; Tele2 has recently terminated the national roaming agreement with Telenor Norway. * The agreement has currently an annual revenue contribution of NOK 550 million. And on the two from the same date, 1st of April 2015, the general termination rates will be half to 8 øre per minute and it will become effective from 1st of April and this is an industry decision. To be able to continue in essence to secure profitable data growth and deduct two of the changes within the fixed business we need to make sure that we still operate an efficient operation also going forward. And we are working continuously on our cost efficiency agenda, both when it comes to the NOK 800 million gross cost savings ambitions for 2015 as well as the efficiency programs with medium to long-term effects. Telenor Norway – sorry, Telenor Sweden reports a quarter with 4% EBITDA growth and underlying margin improvement by one percentage point this year. Q3 was a relatively quiet quarter in terms of subscriber growth, but we saw solid pick up at the end of the quarter fueled by the launch of the iPhone 6. We are seeing the underlying mobile service revenue growth in Telenor Sweden slowing somewhat after several strong quarters. But we believe that this will pick up again when the iPhone 6 generation really ploughs into the customer stock. So even if they come through with high data usage, and very advanced users. We have a solid data which we will improve even more going forward and we need to work hard to improve our data monetization in Sweden going forward. In Denmark, the positive subscriber momentum continues with 41,000 new customers in Q3 and we have added 100,000 mobile subscribers so far this year. This has however not been enough to stabilize subscription and traffic revenues, which is down minus 4% year-on-year as the ARPU is still under pressure in a very competitive market. With intense market competition, Telenor Denmark will have to continue to work on reducing the cost base. Before leaving the Nordic region we also like to mention our Broadcast division which continues to deliver a stable and solid performance adjusted for the disposal of Conax which took place early this year. Now, moving to our Central and Eastern European operations. In Hungary, we are very pleased to see revenue growth plus 3% this quarter and an ARPU improving year-on-year However, seeing the EBITDA margins still negatively impacted by the telecom tax, as much as 9 percentage points in this quarter. Telenor Hungary secured 800 megahertz spectrum in the recent auction and we are now in position to improve 4G coverage significantly on a country base in the coming years. But the current spectrum fees and telecom tax regime still pose significant challenges to the industry and we are – since we are long-term investors and in this predictable and stable regulatory framework and as such we believe that the proposed tax, new tax plans on the internet consumption will impact both the industry and users negatively. We completed the acquisition of Globul as you remember in August 2013. So far, the performance of the operations have been according to plan. The network swap is progressing well with encouraging data traffic growth from the swapped sites around 40% of the swap is now completed with expected completion of the project in the first half of 2015. Total revenues are still declining but this is largely due to lower handset sales and roaming and we have seen a strong margin development in the operations in the period as we have kept going in Bulgaria. In Montenegro and Serbia, we still see revenues under pressure and a seasonal improvement in subscriber figures. The highlight in Serbia this quarter was the launch of our first fully online bank Telenor Banka and it will be interesting to follow how we can combine go to market from the telecom side as well as from the financial services side. Before moving to Asia, I want to touch briefly on Wimplecom. Wimplecom is seeing very tough times in particular, seeing the depreciation of both the ruble and the grivna in these days. Wimplecom reported some promising trends in operations in Russia in particular at the end of second quarter, and we very much want to see this continue into third quarter and we’ll have to wait for Wimplecom reports to get our hands around that issue. Then moving to Asia, and I am sorry in Thailand. The economic and competitive environment in Thailand has been a key concern for us this year and DTAC’s Q3 result clearly shows the impact of the aggressive competition with a 4% decline in service revenues and the subscriber loss of 259,000. DTAC has been a key revenue growth driver for the Group, but this quarter DTAC was not able to offset the voice business decline and good growth in data revenues. And this is a development that we must change. On the positive side, we see no slowdown in demand for mobile data and data service and the smartphone penetration is still growing by 10 percentage points year-on-year and has now reached around 40%. We still see a lower regulatory cost supporting in margin improvement year-on-year although some of these benefits are for the time being offset by increased market spending. We are strong believers in the Thai telecom market longer term, but I also believe that there is room to improve our own execution in the current market environment and the new management is working hard on this with both market activities and organizational changes to what was a more – management model similar to other operations in Asia and also improving our network position by stepping up the investments to reach a better quality network. In Malaysia, Digi continues to deliver data-driven revenue growth in a competitive environment. Revenues increased 3% year-on-year driven by stronger service revenues and smartphone sales and we still expect revenue growth to 4% to 6% from Digi in 2014 while keeping the EBITDA margins stable at around 4% to 5% year-on-year. Digi has been running targeting mobile and internet campaigns and promoting affordable smartphone bundles supporting a strong subscriber intake of above 440,000 new subscribers. And the new subscribers will support Digi’s performance into the fourth quarter of course. Grameenphone added 1.1 million new subscribers in Q3 and passed the 50 million subscriber mark. This is enormously a big figure compared to what we were thinking about back in mid-90s when we started in Bangladesh. But the vision of getting the handsets and the phone into the pockets of everyone stands as strong as before. And expressed through our Internet For All strategy. The organic service revenue growth was 3% in Q3 as the 9% growth in subscriber base was almost offset by a 7% ARPU decline. And the ARPU decline follows continued intense competition, but also dilutive effects of subscriber growth in lower revenue generating segments, but also reduced usage following the extreme weather to a certain extent in parts of the country in this third quarter. Despite this and although the organic revenue growth decline Grameenphone reported a solid EBITDA margin of 54%, which is a small improvement on 1 percentage point year-on-year. Moving then to India. We continue to see solid growth in – also in the third quarter with 1.8 million new subscribers and 39% organic revenue growth for the quarter. Almost 20% of our subscriber base in India is now active data users. We are improving our market position quarter-by-quarter by taking significantly more than our fair share of the total subscriber growth in the circles where we are present. In our six operational circles, our subscriber market share is now 10.5% and revenue market share of 6.2%. We are continuing to improve population coverage within our circles by redeploying equipment from circles that we exited in 2012. And the redeployment program comprises around 5000 sites, of which we took a big leap this quarter by launching 3100 new sites in these three months only. This means that we have deployed 4400 new sites so far this and by that increasing the population coverage in our six circles from 42 to around 50. Although data consumption is already contributing to the ARPU growth and the site expansion increases will turn India into a profitable business. We really have to make sure going forward that we are even better at monetizing this growth potential and align revenue growth with network investments. The big excitement this quarter is the launch in Myanmar. This is a very important event for us and as we launched services in Mandalay in 27, September offering both 2G and 3G services. After just four days of service in one city, we had almost 300,000 subscribers, which indicates an enormous pent-up demand for affordable mobile services in this country. Later on we have launched services in Naypyidaw and Yangon and last Sunday, we passed more than 1 million subscribers, we passed the 1 million subscriber and even growing beyond that. As we speak, we have close to 2 million new subscribers with this very short period of time. After the launch in Yangon, we now have around 16,000 points of sales and more than 500 network sites up and running. The service launched in the three major cities has gone according to plan. However, we have also had experienced on capacities in peak hours driven by this enormous interest of this new service offering. However, access to land and site permissions remains an issue for the network rollout to speed and this was also flagged when we entered the country and this has really proved also to be a reality. And I have to give great recognition to the team and our colleagues and partners in Myanmar to realize this launch in the way that they have done. The side-effect of this is that they had probably also had a lot of fun during the launch phase. When it comes to the financial targets, we continue to expect EBITDA breakeven within three years and accumulated losses of $1 billion including the license fee before breakeven. Now, to conclude the third quarter presentation this time, we have delivered a quarter with strong operating performance with record high revenues. And to capture this growth and to monetize on it, we have to continue our efforts on stimulating demand while also making sure that we have relevant offerings with healthy price structures as well as making the necessary investments in data enabled networks. As Richard will come back to in his presentation, the cash flow ambition of Norwegian kroner 28 billion to 30 billion in 2015 comes out to be too ambitious due to timing issues, headwinds in some markets and opportunities to invest in profitable growth. To conclude, the third quarter results demonstrates the Telenor Group’s ability to move forward. We are in good shape and we expect healthy underlying trends to continue. And with that, I deliver to Richard to continue on the financials. Thank you.
Richard Olav Aa: Thank you, Fredrik. I will then dive right into the revenues. We have record revenues this quarter, 1.7 billion improved revenues from third quarter last year, that is a revenue growth of 6.7% reported. We are helped by the currencies Norwegian kroner has weakened against particularly the Asian currencies. So that explains approximately 2.2 percentage points of the 6.7 and then we have done some good acquisitions in Bulgaria and also the fixed network from Tele2 in Sweden and those acquisitions explains approximately 1% in the net out effect of the sale of Conax. So currency and acquisitions are divestitures were back to an organic growth of 3.5%. And as you see from this slide, on the right side, it’s a breakdown of the 3.5% and most importantly our mobile service revenues continue to grow – driven mainly from Norway and India this quarter. We see device sales are also picking up year-on-year as we see strong device sales at the end of the quarter also with the new iPhones. Fixed is showing positive growth of 0.2 driven by the investments in Sweden and strong internet and TV consumption in Norway. For other units, we see a strong growth of 0.4% that comes from our machine-to-machine business, our international carrier business, TDS and also the maritime communication business is behind that growth. As Fredrik mentioned, we are reporting now in the growth is well above what we delivered in the first and second quarters. But the main explanation why we are reporting high growth is that we don’t have a negative significant negative interconnect effect from Thailand this quarter. That was around 1.5% in the second quarter and that explains the main difference between second and third quarter when it comes to growth as we see it’s on the negative 0.1. So, but all in all, good growth trends continuing and Norway really well while we are struggling on the growth side in Thailand as the two main headlines. This is standing in – Telenor, over the years now have had good operating leverage. We have been able due to good and systematic cost programs to grow EBITDA faster than the growing top-line. And that’s also the case in this quarter, 3.5% organic revenue growth resulting in 4% organic growth in EBITDA. And we are reporting now 10.3 billion in EBITDA which is up from 9.6 similar quarter last year. The main units behind this growth is Norway and DTAC. DTAC clearly lower revenues but a lot of savings on the regulatory cost side by moving from concession to license regime and solid performance in most of the other units contributing NOK280 million mainly due to good execution on the cost program on the back of a small growth also in other units. While the two new units Globul and Myanmar they net each other out on EBITDA, EBITDA growth little bit stronger from Globul than expected and EBITDA losses from Myanmar more or less as expected. Then to the CapEx. CapEx this quarter is slightly above from similar quarter last year but still at around 14% of sales. And the breakdown you see at the right about 25% of the CapEx is going into Norwegian network on LTE deployment and fiber which we are now monetizing quite successfully this quarter. And then you see Asia now with DTAC, Digi and Pakistan investing in internet capacity to connect unconnected customers and give more capacity to on the back of the strong data demand. Those are the main drivers behind the CapEx this quarter. So, based on the strong development in the EBITDA and operating cash – up last year. And you also see the main drivers there on the right hand side not taken by unit but it’s taken by the various accounts in our P&L. And you see the main driver is of course the gross profit meaning that it’s revenue growth and good control of the cost of goods sold and also here we have some currency effects in all fairness but that contributes close to NOK 800 million. OpEx is increasing NOK 146 million, that’s mainly related to new sites in India, the 3000 sites Fredrik talked about comes in – and energy costs before we can fill them up with revenues. CapEx side excluding Globul and Myanmar is actually a small reduction of 152, I mentioned CapEx was slightly up and that’s due to CapEx now in Globul on the network swap and Myanmar. We invested approximately NOK 250 million in Myanmar this quarter on OpEx and CapEx in line with the plan. So this combined picture, even though we have two new units that now consume CapEx still underlying capital is up by 0.5 billion. So that is the main – with Fredrik very comprehensive or three other various performance in the various units and this underlying financial description is the main explanation on the consolidated units but that also this quarter to take it through the associated companies because there are some important things to go through there. And we have a negative contribution from associated with NOK 300 million this quarter. And there are three main investments in the associates line and that’s Wimplecom is the online classified we have shifted the joint venture and Ameda the we own together with the Central labor organization in Norway. Wimplecom, like Fredrik said is facing tough time especially now with the depreciation of the Russian Ruble and the Ukrainian gryvna in Russia. So we are only getting NOK 200 million in from Wimplecom this quarter. That is actually the second quarter is helped from Wimplecom because they are lagging one quarter. On the online that is going as planned, somewhat better I would say when we look at the KPIs in key markets together with spending more or less as we have planned for but, it’s significant, it’s NOK 238 million largely in marketing expenditures that we are investing on our part into the joint venture this quarter. And finally, Ameda, the media house is facing tough times especially on advertising revenues and they have impaired some of their book values and that goes straight into our results as well. So that’s the storyline on our consolidated entities and associated entities. So I don’t no intent to go through the details of the net income. But just point to depreciation and amortization as we see that one is up by approximately NOK 500 million and that’s due to the writing off the old network in Globul and in our swapping into a new network. There is nothing particular in net financials, taxes or minorities this quarter. So we end up with a net income to Telenor of 2.6 billion for this quarter. Then moving over to the balance sheet. We have a very strong balance sheet, probably one of the strongest in the Telecom industry and this quarter we continue – we can continue to say we have that statement. We have reduced our debt by approximately 4 billion this quarter from 44 billion to 40 billion. And the net EBITDA ratio is stable at one time. We have a run rate now on EBITDA around 40 billion. You saw the EBITDA level of 10.3 in the third quarter and the debt around 40. So, we have the same debt level as we have in EBITDA. There is either no need to go through the detailed reconciliation of the net debt change from second quarter to third quarter, but just point out that we have paid 1 billion to Norwegian government to buy back shares from them based on the share program that was executed in 2013. So the Norwegian state is keeping their shareholding stable in Telenor. Other than that, it’s quite normal trends on the debt and also good progress on some working capital items that improves the net debt. Then moving on to the outlook for 2014 and the trends we see into 2015. And let’s start with the outlook for this year we maintain our outlook based on the results now in the third quarter and what we see our trends into the fourth quarter and let me take them one-by-one. Organic revenue growth, the guiding is low single-digit year-to-date, we are at 2.2% and we don’t have the interconnect effect from Thailand also in the fourth quarter and so we should be in good shape to come in on low single-digit organic revenue growth. EBITDA margin we are guiding above 2013 level, year-to-date we are at 36.3, and that then fiscal year 2013 at 34.5 for almost 2 percentage points ahead year-to-date, but bear in mind fourth quarter is always weaker because we have a lot of handset sales and particularly with iPhone 6 coming in we will dilute the margin in the fourth quarter. So, it will likely be lower than 36.3 but it will be significantly better than 34.5 last year. So, I think we guide above 2013 level with good confidence. On the CapEx to sales, we are now year-to-date – 0.1 and we are guiding 14 to 15 to be clearly have quite higher CapEx level throughout in the fourth quarter, so I think that’s a prudent range. We see no need to change the guiding for 2014. Then moving into the trends for 2015 and let me first start with what we can control the best and that is our cost. And we have laid out the cost targets for 2013, 2014 and 2015 to save 5 billion gross. And we are doing well on that target and we have good optimism that we should realize that target within 2015. And the two biggest mobile units we have listed there also Norway being fixed and illustrated their kind of path to contributing to the 5 billion and Norway, we had a cost program over 2 billion and we executed very well in 2013 and we are on the way to closing for the ambition for 2014. And then we have an ambition of NOK 800 million next year and we are filling up the pipeline there day-by-day and we are almost half filling up that pipeline and this is quite normal for this time of the year. So we have a clear ambition to close this and deliver on the cost program in Norway. Then on Thailand, yes, there are headwinds on the top-line due to – competition but we are delivering ahead of the regulatory cost savings curve that we laid out when we shifted from concession to license. And as we visualize here, we are now down to 22% regulatory cost as a percentage of service revenues which is down 10 percentage points. So that’s going very well in Thailand. And also the – mentioned Digi and Sweden as two prime examples, but across the Group we are delivering quite well on our cost agenda on 5 billion. Then moving on to 2015. We, at the Capital Markets Day, in 2012, we set out an ambition to deliver an operating cash flow of 28 billion to 30 billion. And as you see from the curves, the good trends on EBITDA, top-line growth, good cost control resulting in EBITDA growth, we expect that to continue. However, when we now look into 2015, we see that the 28 billion to 30 billion target is too ambitious and there are three reasons that I will take you through that mainly explains this. I will take them one-by-one. And one of them is more of a shift and other one is clearly performance-driven and bad news and the third one actually I would claim is good news. But let’s start with the satellite launch. We have planned to launch, fourth quarter this year. That will be postponed into first quarter next year. That’s a CapEx shift of 1.5 billion from 2014 to 2015. Secondly, which is more performance-related is that we now see a revenue decline in Thailand in 2014 and limited visibility on when this will turn in the future. We still have good long-term growth prospects for our subsidiary in DTAC, but when we were on a path in DTAC, growing revenues in 2012 and 2013 around 10% service revenues and this year we will have negative service mobile key growth engine of the Group the last couple of years and that shift separately as it done in 2014 that has an impact that I am not going to quantify in detail for you now, but it’s clearly bigger than the satellite impact into 2015 unless the trends turns remarkably quick. And of course, we also expected Denmark to stabilize and do better in 2015, but based on the market trends there now, on the ARPU it’s very hard to see that 2015 – Denmark in operating cash flow also from Denmark. Thailand is of course the main one. So to turn the trends in Thailand and Denmark is our post-performance to continue to grow our cash flow longer term. The third good news is what Fredrik also alluded to, is that we are now in the beginning of the S curve of picking up the data customers in Asia. Only 29% of the Telenor customer base have access to internet. And that growth is happening now. We are in the beginning of the S curve and what is driving the growth, yes there are tremendous new services that the people would like to connect in Asia, the device prices have more or less collapsed. You can buy a very good smartphone now below $50 in Asia. And thirdly, spectrum has become available to drive data services in many of our markets going forward and we expect more to come. It would not be prudent of us not to catch up on that opportunity that we now see particularly in Asia. Having said that, that does not mean that we will go and do an investment next year. We will apply all the tools we have in the Telenor tool box working granular on the investments, phasing the investments based on pick up on profitability, using new operating models from sharing and however with partners more intelligently to make these investments utmost profitable. And we see a big opportunity longer term to take part in this growth. However, we are in the middle of this process now with our business units to lay out in detail what we are going to invest and how we are going to invest it. That’s a process we will end by the end of this year we will discuss it with our Board and anchor with our Board and we will come back to the capital markets and present a guiding for 2015 cash flow in February. Then I want to end going back to the quarter. I just sum up the quarter before we take the Q&A. We have all-time high revenues, EBITDA and operating cash flow based on the solid performance. Norway, really a good example to follow on whole to monetize increased data usage. 10% mobile service revenue growth is picking up. Our weak spot is of course Thailand due to – into this intensified competition negative service revenue growth. We have to turn that around with the measures that Fredrik mentioned. And of course, our big pride this quarter is that we have successfully launched in Myanmar and that is really something that we are proud of as a Group. Thank you, Richard. Could I ask to open up for Q&A session now, start from the audience and then from our phone participants. Any questions from the audience, there in the back row please.
Christer Roth – DNB Markets: Yes, hi, Chris Roth from DNB. Congratulations on the good numbers. A few questions with respect to Asia. On Thailand, you said there was room to improve your own execution. I was wondering if you could elaborate on that, please. And secondly, once the migration of the subscribers across the operator universe is migrated to the licensed-based network, do you expect that price competition will ease off? And to what extent do you expect that the 7 percentage points in terms of the regulatory cost savings can be translated into further EBITDA margin increases? And for India, I was wondering whether the increase in growth in data usage requires additional CapEx with respect to deployment of more advanced data services. Thank you.
Jon Fredrik Baksaas: Now that was important questions to the core of it really. In Thailand, I think we have to recognize that we were a bit too optimistic last year when we started the migration to the license regime and it proves that our network was not solid enough on the parameter of being seamless when we started in 2014. And the quality network that we had in 2014 did not meet the customer requirements sufficiently well in the first – we saw that towards the end of the first quarter and in the second quarter where you saw it even more clearly. And we took actions on that in order to improve and get rid of the pockets that we had on the network in Bangkok in particular and that has been done more or less now in the third quarter. But it will continue also slightly into the fourth quarter and then we will take that those effort gradually into the other cities of Thailand and pledging two our customers in the Thai market that we will have a best performing data network back in shape within March next year. So that is a kind of recognition that we were too optimistic on what was happening in the license – or the migrations from the concession regime to license regime last year. The second question was on what was that?
Richard Olav Aa: On the regulatory cost savings in Thailand,
Jon Fredrik Baksaas: Then you can take that one. 
Richard Olav Aa: Okay, thank you. We see good progress on migrating customers from the concession to the license regime. And we see no reason why that should not continue longer term. The more worrying trend is the really tough competition end almost unhealthy competition I would say both on voice and data in the Thai market that put some more of a question mark on the margin development in the short to medium term. 
Jon Fredrik Baksaas: And if you reflect back to what happens in all the Scandinavian countries and we have taken this as a change to data. We have seen a bit of some fluctuations on how this transition has taken on, I think Thailand, given the intensity on competition coming from the change from concession to license basically we will have a period of actions from the players that the players cumulatively need to learn sort of the transition mechanism to take the pricing, because clearly this transition has taken on, I think, Thailand, given the intensity on competitions coming from the change from concession to license. Basically, we’ll have a period of actions from the players that the players cumulatively need to learn sort of the transition mechanism to get appointment. Those clearly these markets are become data-centric. The third question was about India and CapEx. Under the present spectrum situation, we don’t expect new investments at existing spectrum with the existing edge services. Investments as we are right now is to grow the footprint of our existing network with existing technologies. The long-term question though is highly relevant and that is the future spectrum situation in India will be – is under constant pressure from all industry players because the Indian government has not made available all commercial spectrum, which is there. And in the upcoming auction next year, TRAI is now coming up with new suggestions and proposals also to include new spectrum amounts and we clearly will start where it will come. As do other industry players in India for that matter.
Operator: Thank you. Any further questions from the audience? No questions from the audience, I will take one online question that’s coming in from Renaissance Capital, on Wimplecom. Do you plan to convert your preferred shares in Wimplecom at the price of the stock is now in its low level?
Richard Olav Aa: Well, that question has been there for quite a while. We still have a good period of making a decision on the pref shares. But I have no further comments to that right now. I think the most important thing is that Wimplecom basically concentrates on operational parameters concentrate on closing the announced deal in Algeria and take the benefit that comes from the financial restructuring that Wimplecom has done this year including the effects of the deal from Algeria... 
Operator: Thank you. I will take one more online question from (inaudible) Capital. The question is based on what you have seen Thailand and Malaysia in terms of data, how did you offer on profitability per data subscriber compared to voice-only subscriber? 
Richard Olav Aa: I doubt I am capable – I’ll take the details on that, but, and it goes back to the previous question that we had namely how the industry managed to capture the monetization side of the data phase in this industry. And there are good industry examples and there are weak industry examples and there not so good industry examples. Right now, both in United States and Scandinavia for that matter are showing very good prospects on how to monetize the data part of – or the data phase in this industry. And I reckon that also other markets will test, learn and develop and since there are so heavy investments needed to realize this good connectivity, then these investments needs to be associated also with the necessary profitability else they won’t happen. And this combination of good quality networks handsets with good functionality and good user interface associated with attractive services that is the ecosystem at play. And clearly, the Norwegian market is the best market within the Telenor Group for the time-being how that is to be done.
Operator: Thank you, up to the operator who will start the call.
Operator: Thank you. (Operator Instructions) We have our first question from James Britton. Please go ahead.
James Britton – Nomura: Thanks, good morning. James Britton from Nomura. I've got a few questions about the strong performance in Norway. Firstly, you mentioned median data usage in the slides. I just wondered if you could clarify what average data usage is and also, perhaps, give some comments on why it's very much lower than the Swedish market? And then could you just also say how many customers have moved to the interested pricing to accelerate the growth? And then finally on profitability, could you just give us some explanations as to why there hasn’t been more operating leverage impacts through to your margins, particularly when you've got some good efficiency initiatives going through in Norway as well? Thank you. 
Jon Fredrik Baksaas: Why are Norwegian customers lower than Swedish, we don’t like to be lower than Swedish in this country. So, if I have an explanation and that is that the Swedish market has always been more intensive on capacity pricing and this is something that came from the fixed line deployment back 10 years ago. So, the competitive criterias between the players have been capacity-oriented more than so in this country where coverage has been more the issue. That’s one explanation and then you can – add that also some interesting applications have also seen it’s like in daylight in Sweden, ploughing into also global services. So that might be another. But one thing is for sure, we – in this country, we are technology savvy to the extent that we are curious on new technologies and we see now an explosion in this usage as we record close to 70% change or incremental in data usage of the mobile phone. Richard? 
Richard Olav Aa: Yes, average usage in Norway is 1.2 gigabytes per subscriber and compare that to Sweden, that’s – in Sweden, it’s 3.6. And why we are not so interested in following the average is this relates the media that our revenues on the average, we have a lot of large screen users and heavy, probably needs to overpriced trends over time. So it’s really media and that is the key for us to track. When it comes to the OpEx, yes, correct, quite, James, that the margin in Norway could have been better but we are also investing now in the OpEx side on long-term transformation program in particular the fixed value chain program. We embarked upon with a partner that has OpEx cost in the beginning but it’s a very strategic program for Norway to deliver a much more efficient fixed value chain over time. 
Meera Bhatia: Thank you. Next question please. I am sorry; we have to move on to the next caller. 
Operator: Our next question comes from (Inaudible), please go ahead. 
Unidentified Analyst: Thank you. I have three hopefully short questions. The first one ties into the last answer. Richard, you said, you mentioned this transformation with Tata there. Again, could you just give a bit more color where this is aiming? What ultimately is the intent there? The second question is you made several references to better monetization of fiber in Norway. I was wondering, given that you don't sort of really report much on the fiber separately. Whether you could underpin this with some KPIs or financial data? And my last question is, you made much of this scrapping of the NOK28 billion to NOK30 billion operating cash flow guidance. Now with the consensus market expectations, at least from – that is already significantly below that number. I think it's around NOK24 billion, NOK25 billion. So I'm just wondering, when you talk about this so much and put so much emphasis on this in the presentation, is this now because really you want to explain what's going on internally in the company and as that or have you actually looked at where the market is and you felt that the market needs to think about this more carefully? So, in other words, is the emphasis to this really to watching in terms of market expectations? So is it more internally focused and in with reference to your earlier plans and you feel a need to explain this? Thank you.
Richard Olav Aa: Thank you for your questions. As for the transformation issues in Norway, to the first part of it, the transformation here, we are sitting on fixed value chain in Norway which clearly have both legacy and very long history. And, what we have embarked upon with Accenture as a partner in this space, Tata and Accenture, we have taken on the ambition of completely renewing how we are doing the customer handling, the – all the customer engagement processes and all the processes between the customer side and the network side. And our ambition –on the cost side as well for several years and we are really addressing that in these days right now. As for metrics on fiber, the fiber calculations is – this you need to understand a bit of the geography in this country before you sort of adders the question. The – what is then commercially feasible to fiber and to cable, has certain limitations and we consider the present – out of two here 1.7 million of them of these households will be capable of receiving commercially either cable or fiber. And its within that group of that segment of all households that we are rolling fiber and have reached the stages of 100,000 plus connections right now. And in this space, – the competitor. Knowing also then that the cable market is roughly divided 50-50 between ourselves and Getz. As to your last question there on cash flows, when we established three years ago, we really had – we really saw a development curve where CapEx could normalizes and really take also the cash flow figure up to the NOK28 billion to NOK 30 billion level. However, the data phase comes more rapidly in all markets. And these investments needs to be done in order to catch the earlier growth of the S curve and you are right in the fact that market evaluations of this has been lower than our own estimate which was an ambition three years ago when we made it. And we thought it’s prudent to describe the changes that has come in and then also pointing to the underlying strong growth parameters that we have had with us, both this quarters and previous quarter. So, it’s clearly our ambition to grow on both top-line, EBITDA and net cash flow and there are elements that later on we will take this up when the satellite is done and we can reach a more normalized situation in the data phase when it comes to investments.
Meera Bhatia: Thank you. Next question please.
Unidentified Analyst: May I follow up on?
Meera Bhatia: Sorry, could I kindly ask you to limit yourself to one question. So we get more callers. Thank you. Next question please.
Operator: Our next question comes from Peter Nielsen. Please go ahead.
Unidentified Analyst: Thank you. I’ll just have a question on Denmark then, please. You still talk of the market as being challenging but you still, Fredrick, seem to have moderated your comments somewhat and I think the numbers would indicate that perhaps you've turned a corner in Denmark. Is that the way you see it? And also when you talk about reducing cost and the good momentum you have on the subscriber trends, will this make you perhaps reconsider your fairly aggressive handset subsidy strategy, which you've carried out this year? And just thirdly, you've obviously won some major public contracts this year. You haven't really talked about it. But are you prepared to tell us how much of a boost to revenues you expect from the contracts you won within the last three months? Thank you.
Jon Fredrik Baksaas: Well, these were questions related to Denmark, asked by a person with a clearly Danish accent. So, I’ll try to be as precise as I can. Have we turned the corner? Well it might be that we have been at the bottom at least. So let’s hope that that is the case and we are – and that we now are in a better shape when it comes to the go to market initiatives. We have a good quality network at the base of this after we combine our networks in a network sharing agreement with Telia. So there should be no excuse on the side. Then on the service side it’s how we package our services and it’s how we go to market that really is a stake here and we are doing obviously a better third quarter than we have done for quite a period of time in Denmark. On the corporate customers, I don’t think I will be detailed on those, but I’d say the following, some of the corporate contracts in Denmark are extremely competitive in its structure as they are in Norway for that matter and that means that we are winning some and we are losing some to the extent that our main competitor TDC to keep contracts when they are up for renewal. But we are happy with the ones that we have taken. And it creates of course, volumes to a good quality network already. So, it’s good contributions. I think, was that covered it, I think? I think so.
Meera Bhatia: Yes. Next question please.
Operator: Our next question comes from Stefan (inaudible). Please go ahead.
Unidentified Analyst: Yes, hello. First of all, in the Swedish market Telia is planning to launch convergence products. I would just like to hear your view on the need for convergence products, both in Sweden and also for Norway. Secondly, just regarding the increased amount of the dispute in Thailand, if just could mention your view, your risk assessment relating to this and if there are any provisions taken? Thank you.
Jon Fredrik Baksaas: The need for convergence products and services, you could say that the way these markets mature and develop one thing is for sure, the bundles that the customers can get from this industry are constantly becoming more rich. Despite the enormous growth of volumes that the market generally takes from our system when the economy basically goes digital also creates growth from us, but in the proportion of a much bigger growth factor, from the consumer consumption compared to the price development. But seeing the combination of this in Norway right now, I think we are pretty well on a good trend. Converge – if you are then thinking of sort of bringing entertainment products into this package as well as the next layer, then I think the industry needs to think about the complexity that happens on the IT side and also the discount expectations that generally will come from the consumer side when that step is taken. So, we are a little bit reluctant to sort of embrace the idea, but rather see a kind of evolution into growing the bundle, the quality and the content of the bundle as such over time, more in an evolutionary way. Maybe you, Richard, can take the dispute in Thailand.
Richard Olav Aa: Yes, now it’s increased now up to NOK 50 billion from TOT and it’s nothing new but on TOTs added three more years to the claim. We still are of the strong opinion that the claim is unmerited and we have set no provision for it. 
Unidentified Analyst: Thank you.
Meera Bhatia: Thank you. Next question please.
Operator: Our next question comes from Sam Dhillon [ph] Please go ahead.
Unidentified Analyst: Hi guys. Just a question in Thailand. How has the relationship been with the military government throughout the year? And has there been any change to the working conditions of DTAC? Thank you.
Jon Fredrik Baksaas: Working condition with the new government as we see it from the industry better, and how this market operates is it’s growing. So, I think the dialogue is making this happen and developing in the right direction.
Meera Bhatia: Next question please. 
Unidentified Analyst: Okay. Cheers, guys. Thanks.
Operator: Our next question comes from Thomas Heath. Please go ahead. 
Thomas Heath – Handelsbanken Capital Markets: A question on the consumer doing relative to corporates and perhaps your sub-brands versus the main Telenor brands? And then if we look a little further on into Telenor Norway, do you expect similar trends, particularly in the corporate or consumer segments? Or should we expect a down-trading eventually in the corporate side? Thank you. 
Jon Fredrik Baksaas: Well, these are questions of evaluations rather more than specifics. I think that, Telenor Norway has a historically very strong relationship to the corporate of the communications market in Norway. And the way the competitions parameters in Norway is quality networks, coverage, and of course also and capacities and pricing. And to strike that balance, I think we are reasonably well at striking that balance actually on how we compete in the corporate sector – segment as well. But the price revisions that we did autumn 2013 changing the pricing structure also and at the end of first quarter this year has clearly benefited the Telenor figures later this year. As we have been able to create a better link with the growing demand of data downloads back into the pricing structures. And the combination then of good services, the new handsets that are now coming this autumn, as well as the good quality network where have reached 80% penetration of where people live when it comes to 4G coverage really drives this. So, we are – where we are right now, we believe that we can develop upon this trend of higher usage from where we are right now as well. 
Meera Bhatia: Thank you. Next question please. 
Operator: Our next question is from Jakob Bluestone. Please go ahead. 
Jakob Bluestone – Credit Suisse: 
 :
Jon Fredrik Baksaas: Richard, do you have that on top of your head?
Richard Olav Aa: I don’t it’s not the way we do the pricing. In Norway we don’t price on technology, we price more on usage, on speed and I what’s typically happened is that when a customer shifts his handset from 3G to 4G he will need a higher data package both on speed and volume and then our systems will – and people will recommend him to typically take a higher bundle than he had before. And what we see now we are selling more than 50% of our new sales are in bundles 299 and higher and that’s across all brands. So that’s the main driver and you see that compared to the normal consumer ARPU is better.
Meera Bhatia: Thank you. Next question please.
Jakob Bluestone – Credit Suisse: I guess, I was – secondly 
Meera Bhatia: Sorry. Next question please. 
Jakob Bluestone – Credit Suisse: I was just going to ask – never mind. 
Operator: Our next question comes from Maurice Patrick. Please go ahead.
Maurice Patrick – Barclays: Yes, hi. Maurice from Barclays. So a quick question on the Indian operations, obviously, we saw the free cash flow losses increasing as you redeploy the sites. Perhaps just some – how are gross margins trending in the markets? So we can get a sense of how you will exit the year going into 2015 as you finish the network rollout would be helpful? Thank you.
Jon Fredrik Baksaas: Thank you, Maurice. As you know in Q3 in India, typically a quarter with low seasonality, so you are on the site in the fourth quarter and our consumer uptake in the fourth quarter to drive the gross margin into 2015. It’s of course very critical. We see good trends on the new sites that we have deployed. But the Indian market is very competitive 100% prepaid short-term. And how we are going to drive up ARPUs and gross margins in the fourth quarter is a key question also for us and we monitor this on a daily basis now. 
Maurice Patrick – Barclays: Okay. Thanks, guys. 
Meera Bhatia: Thank you. Next question please.
Operator: Our next question comes from (Inaudible). Please go ahead. 
Unidentified Analyst: Thank you. On Norway, on the topic of the nicely increasing ARPU there, has there been a corresponding increase in the subscriber acquisition cost over the past year? And could you tell us what the SAC and or what the subsidy is in absolute terms? And how it has changed over the year? And secondly, just to continue on India,. I think that on operational free cash flow you used to discuss the positive levels for next year over a few hundred million NOK. I think now when you're running at these EBITDA losses of more than NOK100 million that looks slightly optimistic, perhaps. Could you help us out a little bit with the cash flow assumptions for next year in India? And what is the incremental EBITDA margin there as revenues grow, please? Thank you. 
Richard Olav Aa: Well, starting with Norway, now there is no big change on the subsidies. The SMC cost compared of the total OpEx is going slightly down. So, we have not been fueling the markets with more subsidies. And we have not increased prices either. I mean, the revenue growth is coming purely from increased need for data consumption from our customers. On the Indian side, like we said, we clearly have an ambition to turn India into profit next year after the third quarter we are very proud of being able to redeploy sites as fast as we could and we see good revenue uptake on the sites. We also see an increased ARPU from data services also on EDGE and 2G, but we it really depends on that ARPU growth to continue also into 2015 to get the Indian operation into profitable territory.. 
Meera Bhatia: Thank you. We have time for one more question from the phone call. Can we move on to the question?. 
Operator: The final question comes from (Inaudible). Please go ahead. 
Unidentified Analyst: Yes, thank you. I've just got a question on Thailand. You highlighted that visibility on Thailand remains relatively low. Is there any color you could give us around how the competitive environment is shaping up in Thailand so far in the fourth quarter? And also the actions you've taken so far in terms of improving the trends there, should we expect them to have any impact in the fourth quarter or should these have more of a material benefit as we look to next year? 
Jon Fredrik Baksaas: In Thailand, we clearly expect our actions in this quarter and transfer into fourth quarter. We clearly expect them to stop the leakage on the customer side and that the quality of the network comes up to what it needs to be. And that gives a better platform for us in 2015. And I am pretty sure that – and his team will manage to do that. So we have a very focused efforts on these things after we have sort of taken the tolls after what happened in the second quarter.
Meera Bhatia: Thank you, Richard and Fredrik. This concludes our session today. Thank you for your participation. And for media persons there will be the opportunity to speak to our CEO. Thank you.
Richard Olav Aa: Thank you. .